Operator: Greetings and welcome to PublicSquare‘s Year End 2023 Earnings Conference Call and Webcast. Please note that this call is being recorded. [Operator Instructions]  I’d now like to hand over William Kent, Vice President of Investor Relations. William you may not start the conference.
William Kent : Thank you. Good morning, everyone and welcome to PublicSquare’s year end 2023 earnings conference call. Hosting today’s call are Michael Seifert, Chairman and Chief Executive Officer; Brad Searle, Chief Financial Officer; and Dusty Wunderlich, President of Credova subsidiary. Information discussed today is qualified in its entirety by the Form 8-K that has been filed today by PublicSquare, which may be accessed on the SEC’s website and PublicSquare’s website. Today's call is also being webcast and a replay will be posted to PublicSquare's investor relations website. Please note that statements made during this call, including financial predictions or other statements that are not historical in nature, may constitute forward looking statements. Thus, statements are made on the basis of PublicSquare's views and assumptions regarding future events and business performance at the time they're made, and we do not undertake any obligation to update these statements.  Forward looking statements are subject to risks that could cause PublicSquare's actual results to differ from its historical results and forecasts, including PublicSquare's actual results to differ from its historical results and forecasts, including those risks set forth in PublicSquare's filings with the SEC, and you should refer to and carefully consider those for more information. This cautionary statement applies to all forward looking statements made during this call. Do not place undue reliance on any forward-looking statements.  During this call, we may refer to certain non GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in the company's annual filing today with the SEC.  I will now open the call to Michael Seifert. Michael, please go ahead. 
Michael Seifert : Thank you, Will. And thank you to everyone for joining our call today. It has been an incredible journey thus far over the past three years. We actually just celebrated our three year anniversary of incorporation just about two weeks ago. But it's especially been a phenomenal last nine months as a publicly traded company, and we're delighted to share with you today all the new and exciting updates to our business as we seek to change the country for the better through the power of the marketplace, while providing value for our customers and shareholders in the process. So we have a morning full of highlights and significant updates for you. So without further ado, I will jump right in.  Starting with some high level updates on the whole, for the full year 2023, we increased net revenue by 1,097% to $5.7 million compared to the full year 2022 net of returns and discounts. So, again, for the full year 2023, we increased net revenue by 1,097%. We increased PublicSquare marketplace revenue by 529% compared to the full year 2022. EveryLife, the company's wholly owned baby care brand that launched in Q3 of 2023, nearly nine months ago contributed over $2.7 million in new revenue for the full year 2023, of which 70% was actually subscription based. This is a very cool product where consumers can actually purchase subscriptions. It'll ship the diapers and wipes directly to their door. This is obviously a fantastic metric, as a sign of recurring revenue moving forward. For the marketplace, we had a terrific Christmas shopping season as we specifically increased marketplace traffic from November 1, '23 to December 31, '23 by 549% year-over-year compared to the same period, achieved average order volumes of over $70, which was our goal, with an average engagement time per user up 90% year-over-year. We increased business vendors on the platform by 130% to over 75,000 at December 31, '23 as compared to December 31, 2022. And for one of the metrics I'm most excited about looking forward, we are guiding to a year end 2024 exit run rate revenue as defined in the earnings release of approximately $47 million to $53 million resulting from the existing businesses before consideration for merger synergies, which we'll discuss more today.  So again, we're guiding to year end 2024 exit run rate revenue as defined in the earnings release of approximately $47 million to $53 million resulting from the existing businesses before consideration for merger synergies.  For the marketplace specifically, our e-commerce launch fundamentally changed the game for our company from a user experience, business experience and revenue perspective. While our advertising revenue continues to grow at a very healthy rate, it is awesome to see that we now have the opportunity to earn revenues from the brokering of these actual transactions taking place within our marketplace. We have been continuing to add features and we plan to continue to do so significantly for the remainder of 2024, such as user rewards, new payment and wallet systems, more business automation and controls over the business experience for the vendor, owner and UX and UI enhancements to continually increase conversions and the likelihood of success for the platform.  Our marketplace had a tremendous impact over the Christmas shopping season, as I mentioned above and we are proud that we earned a lot of new customers that we now get to continue retargeting and putting quality products in front of them that meet their needs and desires as value aligned consumers. And finally, we are going to move to EveryLife here. We launched our first D2C brand in the baby care space, EveryLife on July 13 of 2023. This is a premium line of products with a simple yet profound message. EveryLife is a miracle from God and worth celebrating and protecting. We continue to see growth that's unheard of in this industry with EveryLife. And as I mentioned earlier, 70% of our revenue in 2023 was from subscription sales, which is a great sign for recurring revenue moving forward, 70%.  As I mentioned on our last call, we will soon be rolling out further products such as soaps and baby lotions as well as pull ups to further diversify our product lines. We expect the first of these additional products to be available during early Q2 of this year. We have initiated special partnerships with pregnancy resource centers, faith based non-profits and various churches around the country that we believe we'll continue to provide both sales and weighted ware in world of direct-to-consumer products. So just to pause here, it's very unique that you have a direct-to-consumer product have inroads with major organization for bulk sales almost as our version of retail. There are over 3,000, for example, pro-life, pro-family pregnancy centers in United States and its entirely untapped market for values aligned baby-care product. We can serve those people and provide impact in the process. We launched our Make More Babies campaign in January to much fanfare and experienced the highest traffic to our brand since launch day. For a little bit of context, Make More Babies was a campaign we initiated in January after Elon Musk tweeted powerfully that having children is saving the world. Well, we clipped that tweet. We put it up on a billboard in Times Square, had a network of influencers that blasted that billboard and experienced over 4 million views on our Make More Babies video and got a tweet about the campaign from Elon Musk himself saying that he endorses this message. So it was fantastic in attaining new customers and we anticipate many more campaigns actively like that heading in to 2024.  To break it down a little bit further, on our last call, I covered briefly our path to profitability and I want to revisit this topic, especially in light of some of the exciting news related to an acquisition that we announced this morning. So regarding profitability, number one, we can get there today. We are an asset light business. We don't have heavy capital expenses going out the door for manufacturing activity or long-term capital commitment for a very asset light business that rely heavily upon our people. Our route is not binary, meaning we have diversified our revenue streams that have multiple levers to pull as a holdings company to maximize growth.  Many of our competitive incumbents in the marketplace space purely relied on their marketplace. But because of that, it took years to be able to achieve profitability. For us, we wanted to make sure that our marketplace could exist not only as a powerful customer acquisition engine and business vendor acquisition engine, but also a marketing funnel that we could then distribute to multiple product verticals with attractive margin profiles so that we could achieve our profitability road map quicker in a more diversified and safe fashion. Number three, we're investing for our future and always strategically choosing what to buy, build or lease. So anytime we have new feature come up on the road map that we want to build or the platform with one of our direct-to-consumer product. We immediately stop and ask the question, do we want to buy, build or lease what we are looking to bring to the market. In many cases, we choose build or lease, but in some cases, we choose buy if it makes sense and we see that it could be immediately accretive to the business. We have an example of that that we'll share briefly this morning.  Maturity of the business, number four, we are public at a much earlier point in our life cycle and it affords us opportunities, namely to be a company by the people, for the people and owned by We the People. But also, it provides us a currency that we can actually utilize with wisdom and tact to continue growing the overall business closer and closer to profitability.  And finally, because of that we are going to use our equity wisely. The Credova acquisition we announced this morning is a great example of the strategy to acquire a profitable cash flowing business run by an excellent values driven team. So on to the Credova acquisition. You'll see this morning that we announced an all-stock transaction, an acquisition reverse triangular merger of Credova. Credova is the leading buy now, pay later company for the outdoor and shooting sports industry. They're helping make the second amendment more accessible to a broader network of Americans, which I certainly personally view as a very moral cause and appreciate the work that they do. They have financed over $1.25 billion in transactions since their inception in 2018. And their merchant and customer universe is highly additive to PublicSquare with over 4,800 merchants onboarded to date and over 2.8 million unique applicants to date. We see those customers and those merchants as marketing opportunities to bring into the broader PublicSquare universe through this transaction.  This acquisition creates a fully uncancelable commerce stack by combining a payments platform, financing solution and a marketplace. Credova management forecast and historical results suggest the acquisition is expected to be immediately accretive to the company before any anticipated synergies as Credova with unaudited management financials reflect estimated net revenues for 2023 of $15.5 million adjusted EBITDA of approximately $2.3 million and free cash flow from 2023 of $1.6 million. This also provides PublicSquare an entry point into the buy now pay later payments universe, a critical component to the future of marketplace transactions. Credova's buy now pay later business has compelling and differentiated market power in values aligned sectors, including firearms, ammunition and outdoor recreation. And to take it further, they actually have exclusive partnerships with over 60% of the top online shooting sports retailers, one of the fastest growing consumer industries in the United States over the past few years.  Integrating buy now pay later functionality into the PublicSquare platform is expected to act as a force multiplier to increase our potential sales for both Credova and PublicSquare Merchant. And the Credova leadership who have joined the company are excellence driven. They're aligned in our mission and it will be an honor to partner with them. Overall, this transaction supports PublicSquare's marketplace ecosystem approach, providing potential new opportunities in payment infrastructure as well as consumer and business financing. Specifically, we believe that merchant credit, inventory financing for a broad network of small businesses could be a major force of our business moving forward. That's yet another reason we're excited about this Credova transaction.  And finally, new revenue opportunities associated with this business. It gets us into point of sale with brick and mortar, expands us into B2B financing and creates the foundation for a payments universe that will not only serve our ecosystem but also allow us to generate revenue from selling that service to other businesses in our network as well. Without further ado, I would actually love for you to hear from the visionary of the Credova brand, the President of Credova, the great Dusty Wunderlich, who has become a fast friend and someone I believe in wholeheartedly to lead this brand to excellence. He joins us as the new President of our Credova subsidiary. Dusty, why don't you take a moment to introduce yourself before we move any further? 
Dusty Wunderlich : Thank you, Michael. It's an honor to be here as part of the PublicSquare team. I'm really happy to be on this call with you today and equally excited to be part of the PublicSquare team now and have Credova as a part of this important economic ecosystem.  A little background on me. In my prior role as CEO of Credova as I am today, I was driven by economic principles that enhance personal liberty. Well aligned with the PublicSquare mission, our personal and entrepreneurial journey is marked by commitments to protecting property rights and preserving voluntary exchange. Turning to the merger, the combination of Credova and PublicSquare is a declaration to the world that the parallel economy is not just thriving, it's here to endure. By uniting our strengths, we're accelerating Credova's growth across various sectors and establishing Credova as a preferred payment solution for shooting sports enthusiasts. The Credova team and I are honored to advance this movement alongside individuals who are committed to defending not only the second amendment, but also the fundamental inalienable rights of our merchants and customers. This partnership underscores the lasting power and potential of the parallel economy, highlighting our collective dedication to building financial infrastructure that upholds our values and protects our community. Together, we're not merely building a business, we're fortifying a movement poised to make a lasting impact. Back to you, Michael.
Michael Seifert : Amazing. Thank you, Dusty. It is a real honor to run with you and we're excited to see what the future holds together. I'd like to hand now the call over to our CFO, Brad Searle to discuss a few items on the financial side, including our 2024 financial outlook before I ultimately then wrap things up. So without further ado, Brad.
Brad Searle : Thank you, Michael, and thank you, Dusty, as well. I'm thrilled to be with you here today to discuss our full year 2023 results. A few quick hitting highlights. As Michael mentioned, we saw a 12x growth in net revenue from 2022 to 2023, 6x year-over-year marketplace revenue growth. We saw massive EveryLife sales and the highest referral source for EveryLife sales continues to be the PublicSquare platform, affirming our flywheel proposition. In terms of share count, as of the end of the year, we had 24,410,075 Class A common shares outstanding and 3,213,678 Class C common shares outstanding. We ended the year with $16.4 million in cash and cash equivalents, $17.2 million in working capital, $21.2 million in total current assets and zero debt on our balance sheet.  Moving to a quick housekeeping item, you'll see a lot of filings this morning. I'd like to point out that we filed a 10-QA to restate the Q3 financials due to an incorrect classification of transaction related costs in the statement of cash flows. Please note this restatement did not affect Q3 revenue, Q3 EPS or Q3 cash position. Before I hand the call back to Michael, I will cover the financial outlook for 2024 we provided in this morning's release. First, in terms of revenue, as Michael mentioned but I believe that's worth repeating, we are guiding to year-end 2024 exit run rate revenue as defined in the earnings release of approximately $47 million to $53 million resulting from existing businesses before consideration for merger synergies.  Moving on to profitability. We expect EveryLife to reach and maintain cash flow positivity by the end of this year 2024. Credova adds substantial revenues and is expected to remain cash flow positive cash flow positive in 2024, excuse me, before consideration for synergies. Please keep in mind that we acquired Credova at a very attractive multiple compared to other BNPL peers, and we are able to refinance their debt at a significantly lower rate of 9.75%. Meanwhile, PublicSquare will strategically spend on development and marketing to support the ongoing growth of marketplace and advertising platforms.  Lastly, in terms of cash position, cash generated from profitable segments along with proposed investment by PublicSquare Director and Affiliates is anticipated to support accelerated growth, including unlocking transaction synergies and building the PSQ payments platform. We expect to exit 2024 with approximately $8 million to $10 million of cash on our consolidated balance sheet.  I will now hand the call back to Michael for some closing remarks ahead of Q&A. 
Michael Seifert : Thank you, Brad. To wrap up, 2023 was a tremendous year for PublicSquare and 2024 is setting up to be even more impactful across multiple fronts. With the addition of the profitable Credova to the PublicSquare ecosystem, we are supercharging our growth potential.  Brief highlight now and how we believe 2024 will play out from a marketplace and product perspective. We have new EveryLife products launching in 2024. We have a new personal product brand, which you'll hear more about shortly, launching in 2024. We are developing and launching a PSQ payments platform to protect merchants from cancellation, building upon and with the existing Credova network. And we are expanding through strategic acquisition into adjacent business segments fulfilling merchant and customer demand. Our theme for 2024 continues to be more members, more merchants, more money. 2024 is focused on growth and we are excited to lean into targeted advertising, partnership deals like Tucker Carlson, who, as a matter of fact, posted his first monologue about PublicSquare on his x channel yesterday evening, as well as strategic events and outreach endeavors such as the very helpful and transformative PublicSquare call series that we are currently conducting around the country in order to capitalize on the election season.  We will now move to Q&A. 
Operator: [Operator Instructions] Our first question comes from Darren Aftahi from ROTH MKM.
Darren Aftahi: Congrats on the transaction. Could we just start before we jump into Credova, just you launched the marketplace in the fourth quarter. I'm just kind of curious your thoughts year-to-date in '24 on the progress and any kind of plans of kind of marketing spend against that? 
Michael Seifert: Yes, absolutely. So we were very pleased with our launch of e-commerce on November 1 for a number of reasons. Obviously, as I mentioned at the beginning of this call, our traffic increase to the site was very substantial year-over-year. But one of the metrics I'm very excited about was the actual average engagement time per user, which was up 90% over the same time period year-over-year between November 1 and December 31. And the other analytical point I will call your attention to is that our average order value was over $70, which is above many peers in the marketplace space and we're excited about that. It showcases that we're targeting the right consumers with the right message and it's converting to the right types of purchasing.  As we move forward, now that we have that information because quick pause here. Before we launched ecommerce on November 1, we were limited in the information that we actually had about what our consumers were wanting and what was converting better than other things because we were simply marketing agents for these different companies, but our ability to track conversions was limited. Well, now after November 1, we can actually tell you on any given day what products are converting on what time line and how do they stack up against other similar products, but at different price points or different market sectors, et cetera. So as we move into 2024, all of that proprietary insight is now marketing fuel. So to answer your question directly Darren, we're leaning heavily into a direct response strategy in 2024. We're actually targeting look alike audiences, utilizing our customer habits and preferred products.  And so what we'll essentially do is say, for example, that outdoor products are trending very well on our platform. We're seeing high conversions and high click through rates in the outdoor space. If we can target an outdoor audience through a very cohesive direct response strategy, we can drop our customer acquisition cost to a very attractive rate compared to our competitors, especially when we have the values differentiator. So direct response is a heavy tool that we will be utilizing in 2024 that we did not have the same ability to conduct in 2023. Finally, what I'll mention and I can't remember if I mentioned this on our last earnings call but I think it's an important point to bring back up if I did regardless. And that's we utilize a jobs to be done methodology when marketing. Meaning, we've run multiple surveys and internal research studies on our existing audience. We've interviewed them and we've tried to understand what are you hiring us for at PublicSquare. And we believe that our consumers are hiring us for four different jobs they need to get done. The job number one is the shopping list. These consumers come and they're obviously driven by the values. But more than anything, they have a shopping list that's tangible that they need to be able to switch over to brands that they believe in. Job number two, these are people that really are here because they want to support small businesses more than anything else. They want to support Main Street. Job number three, these people are led by the movement. They love the idea that they're contributing to a better America for their kid. They may not have a money where their values are. And finally, job number four. These people come here because of the community. They feel not alone and they want to feel like they're a part of a broader network of people that share their same views. And they actually come here because they want to see people face-to-face. They utilize our local functionality heavily.  So to wrap it up, we now that we have that insight, we'll utilize those four insights to make sure that we're partnering with our direct response strategy to target those four jobs to be done, making our message cohesive and understandable and clear so that consumers can hear about PublicSquare onboard into the experience and convert with as little friction as possible. That's our plan for 2024.
Darren Aftahi: Before I jump into some questions on Credova, just a clarification, when you were using the language pre-synergy. So is the $47 million to $53 million run rate exiting the year, is that pre -- any impact from Credova? 
Michael Seifert: So it counts Credova's existing forecast, but it does not count any growth that PublicSquare brings to Credova's existing forecast. So the way to think about this is this is Credova, this is PublicSquare combined but not counting any of the synergistic elements of our business. So for example, this does not count growth that we could add to their forecast from exposure to our over 75,000 business merchants. It does not include jumping into inventory financing at a greater capacity targeting that hot list of business leads. It does not include the conversion uppage that we anticipate Credova will bring to the PublicSquare platform. These are two forecasts that exist separate from one another that have not considered any of the compounding nature of our synergistic business model. It also doesn't count the integration into our platform. So, the 2024 exit run rate guidance that we issued today of $47 million to $53 million does not account for any of those synergistic elements of our partnership that will exist undoubtedly as we move forward. 
Brad Searle: And just to note, Darren, this is Brad. Just another note, this does not include the additional revenue streams from new diapers -- new product we're launching on the EveryLife brand or any other wholly owned subsidiaries that we might launch or acquire in 2024. 
Darren Aftahi: Now, Michael to your point on synergy, can you just kind of talk high level strategically? So Credova has a big footprint in the firearms and outdoor recreational space. Layering that into your marketplace, I'm just trying to kind of understand big picture strategically, how does that impact the marketplace beyond just what they bring to the table? And then more broadly speaking, can you talk about the payments platform, not just from what Credova brings but actually all inclusive for all products, what that kind of look looks like once it's fully integrated?
Michael Seifert: Our goal is to be the only marketplace in the country that you could actually buy a rifle and a pack of diapers in the same transaction. We want to be a marketplace that takes you back to a real classic Americana expression of your commerce freedom, where you could actually go and purchase goods at your local Walmart or other retailer that you know that you could actually buy a suite of household goods that you need and your groceries as well as exercise your second amendment right. There are no other marketplaces today where you can conduct those sorts of transactions. We will be the first and Credova is a massive step in that direction.  So from the payments perspective, we are really targeting a goal of creating an uncancelable payment stack that not only can service our marketplace in the way I just described but can also then be given to our business vendors and we can actually earn revenue on as we're servicing them. Brad and I were at SHOT Show with Dusty, actually, in January and we were walking around SHOT Show. It's the largest, gun show for industry insiders in the world, over 75,000 attendees. And we were walking around and talking to the different business vendors and we asked them, what are your two or three greatest pain points? And all of them said payments infrastructure, because I'm just frightened of cancellations and access to capital.  Well, Credova helps us solve both of those problems. It gives us an ability to come to them confidently and say we have a payment solution for you to actually begin to sell online in a way that's cancel proof. But it also allows for us, with their business financing capabilities to actually offer capital to businesses that are in desperate need of it that have often been turned away by traditional financial institutions even though these are great, lucrative, conservative, fiscally responsible businesses.  And so from a payments perspective, we're very excited because Q2 will be a very significant payments quarter for us. This will be the quarter where we are able to actually sell guns and diapers and cleaning products all in the same shopping cart transaction. But it is also very exciting from the synergies of their business because we have the ability to service not just the checkout experience with greater efficiency and higher conversion potential. We also get to serve our business community in a way that is really unparalleled today. So, hope that's helpful. Happy to offer more clarification, obviously, if that would be fruitful.
Darren Aftahi: Just last one for me. How fast was Credova or how fast did it, I guess, it grow in that that '23 data point you gave about the $15.5 million? 
Michael Seifert: How fast did they grow to that? Is that what you asked there? 
Darren Aftahi: Yes. I guess, year-over-year. That's a calendar year '23 number, the $15.5 million. I'm just curious how fast that business was growing?
Michael Seifert: They had a strategic restructuring in the summer of 2023 that led them into the second half of 2023 being their best season of business ever. So the latter half of 2023, they experienced record originations, record traffic and record deal flow on the consumer and the business side. They launched in 2018 and have really heavily leaned into the second amendment community over the last two to three years.  And so they are on track for a very fruitful 2024 coming off of a great second half of 2023. Originations actually grew year-over-year and under new contracts allowing for significantly improved profitability. So when we talk about restructuring, not only was it great because it upped their origination flow in a very exponential fashion heading into the second half of 2023, it really set them into a better margin profile moving forward. And now we'll obviously get to experience the fruits of that together as a combined business in '24. 
Darren Aftahi: One last housekeeping for Brad maybe. I know you gave the ending share count. Could you just give what the average combined class shares were in the quarter for the fourth quarter?
Brad Searle: We didn't see a big change from Q3 to Q4. If memory serves, the change was only 70,000 Class A shares, which all came online in November of 2023. So not a big change quarter-over-quarter, but we expect a little more movement, of course, this quarter with this Credova transaction. 
Operator: We don't have any questions in the conference side for now. I'd now like to hand back over to William Kent. Thank you. 
William Kent : Thank you operator. We'll now address some questions that we received through the say technologies platform before closing up the call. Tim B asked, how do you plan on marketing small and rural communities? As someone from a small town where the conservative ties and values are strong, very few people and businesses are aware of PublicSquare and we use Amazon and Temu overlooking the conflict and values. How will PublicSquare expand into these markets? 
Michael Seifert: And it's one we're certainly passionate about because the servicing of local communities is really how we got our start and it will always be core to our DNA moving forward. Two answers I'll give you right off the bat. Number one is I mentioned earlier in this call about our town hall series. We love the town hall series because it allows us to get into local communities, meet with elected officials or community leaders that are standing for our values and want to champion those values with us. And it also gives us a great opportunity for local media coverage. So for example, we went to Indiana and we did a town hall with Congressman Jim Banks and Donald Trump Junior. And we got to hear the stories of small businesses in these communities of Indiana that would share their challenges, but also their triumphs. And we had 11 different local media hits after that one town hall evening. We just went to Pensacola two weeks ago and experienced a similar, media coverage that expanded both locally and nationally. These things are helpful because it really sets us as a known entity in local communities around the country, and we anticipate doing a whole lot more of those as we head into 2024. But the bigger effort that we're continuing to grow is our ambassador program. And so our ambassador program is our way that we have boots on the ground in local communities.  We have well over 600 ambassadors on the company currently that are basically supercharged volunteers. They've got our merch, they've got our swag. They're around the country and their local communities inviting local businesses to join the platform. And it allows for consumers when they go to the PublicSquare platform to have a very unique differentiated marketplace experience where you can actually tell us what you want. What are you looking for? Are you looking for coffee? Are you looking for jeans? We'll show you options that you can purchase directly right there online or we'll show you a local solution where you can drive five miles down the road and get a cup of coffee.  That's a unique experience that Amazon, Temu or other marketplaces like SE do not have. They don't have an ability to connect you with your local community. We think it's a strong differentiator moving forward and we appreciate the opportunity to service those local communities.  So in recap, events in local communities like our town hall series are a very exciting way of us getting out into the community onto Main Street in a greater capacity. And our ambassador program, marketing on the local level through the help of super consumers that believe in the PublicSquare mission and want to share that far and wide and have incentive to do so, those are our two kind of pinnacle ways that we're going to reach local communities at greater capacity over the course of the next nine months and going forward. 
William Kent : Thanks again for your question. We'll take one more question here from the Say Tech platform. Brett S asked as a shareholder and on your company platform, I'd like to know when your platform will allow companies to log into their company portal and make edits and changes. The current method is to email one of your customer service representatives with the select changes, and will these things become more automated? 
Michael Seifert: Anytime you've got feature or functionality questions, please fire them away. We love to talk to our members about what features they are wanting to prioritize. So, great question. The answer is imminently. The reason that we've prioritized the consumer onboarding experience is because, obviously, the best way we can help businesses at the end of the day is by driving more consumers toward them. And anytime we have a new feature trade off, we always want to make sure that we're prioritizing the option that will lead to the greatest growth of the platform holistically and will service as many members as possible.  Well that's why we ultimately chose to say, you know what? Let's really dive into the transaction experience and the integration of e-commerce. Then next on the docket, we handle business onboarding, business continuity, the ability for businesses to adjust and manage their profiles to actually in an automated fashion, pay for advertising, which is very exciting. So one of our features coming this year actually is the ability to automate your ad experience as a business vendor to set your own budget and let your advertisement fly to a group of consumers that are values aligned and excited to see your business. So in recap, the answer is one of our next priorities imminent on the agenda is our servicing of the business community through more technological advancements to the platform.  Finally, one more thing is, obviously, one of the synergies we anticipate with Credova is the ability for Credova to be a service not only to the consumer conversion process but also to the businesses. So for a business to actually link Credova to their storefront and experience the conversion uppage that is likely through that tool is a great way that we can experience one of the synergies we mentioned. I hope that's helpful. Back to you, Will.
William Kent : Thank you, Michael. And with that last question, we'll conclude the call today. Really do appreciate everyone's participation and interest in PublicSquare. Thank you so much. Thank you, operator.
Operator: Thank you for attending today's conference. We hope you have a wonderful day. You may now disconnect.